Operator: Ladies and gentlemen, welcome to the Xcel Energy Third Quarter 2013 Earnings Conference call held on the 24th of October, 2013. [Operator Instructions] I would now like to hand the conference over to your host, Paul Johnson, Vice President of Investor Relations and Business Development. Please go ahead, sir.
Paul A. Johnson: Good morning, and welcome to Xcel Energy's 2013 third quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; Teresa Madden, Senior Vice President and Chief Financial Officer; Dave Sparby, Senior Vice President, Group President and President and CEO of NSP-Minnesota; Scott Wilensky, Senior Vice President and General Counsel; George Tyson, Vice President and Treasurer; and Jeff Savage, Vice President and Controller. This morning, we will review our third quarter results, update you on recent business and regulatory developments, discuss 2013 and 2014 guidance, as well as update our long-term earnings growth and dividend growth rates. Slides that accompany today's call are available on our web page. We will also post a brief video of Teresa Madden summarizing our financial results on our website. Please note some of the remarks made during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. In addition, today's press release refers to both ongoing and GAAP earnings. 2013 third quarter GAAP earnings of $0.73 per share reflect a $0.04 per share charge as a result of August 2013 FERC decisions regarding certain fuel and cost allocations at SPS. This issue relates to complaints by parties dating back to 2004 and 2006. These orders resulted in a refund liability for prior periods and consequently, we took a net $35 million pretax charge during the quarter. Details of this order are found in today's press release and 8-K, which we filed in August. Management believes ongoing earnings, which remove the impact of issues and charges related to prior periods, like the refund liability associated with the FERC orders, provides a more meaningful comparison. As a result, the comments on today's call will focus on third quarter ongoing earnings of $0.77 per share. With that, I'll turn the call over to Ben.
Benjamin G. S. Fowke: Well, thanks, Paul, and good morning. Today, we are reporting 2013 third quarter ongoing earnings of $0.77 per share, a $0.01 per share decrease compared to $0.78 per share we reported 1 year ago. While weather was a $0.05 benefit this quarter, it was even greater than last year's third quarter at $0.08 per share. On a year-to-date basis, ongoing earnings are $1.65 per share compared to $1.54 per share last year. And while the final rate case in the Minnesota electric case was less than expected, the combination of favorable weather and management actions have positioned us to deliver 2013 ongoing earnings in the upper half of our guidance range, and this would mark the ninth consecutive year of meeting our annual earnings guidance. We're also initiating our 2014 ongoing earnings guidance of $1.90 to $2.05, which Teresa discuss in more detail in a few minutes. As you may recall 8 years ago, we announced our EPS growth objective of 5% to 7%, along with the dividend growth objective of 2% to 4%. I'm pleased to say we met these objectives on both the GAAP and an ongoing basis. During this time, we also improved our credit rating and our operational capability. As we look beyond 2013, we see EPS and dividend growth targets of 4% to 6%. Now the components of our value proposition have changed, we remain positioned to continue to deliver an attractive and competitive total return for many years to come. We are in the process of updating our capital forecast, and we continue to have excellent opportunities to invest in our utility operations. We will provide more clarity on our updated capital plan, as well as our plans to continue to reward our shareholders, at our Analyst Day in December. I'd now like to share a few recent operational successes with you. On our second quarter conference call, I discussed our successful storm recovery capabilities in Minnesota. Little did we know that those capabilities would be put to a test again so soon. In Boulder on September 9, it began raining and it didn't stop till a week later. Officially, 17 inches of rainfall, with certain parts of the region receiving over 20 inches. Now previously, the wettest September have been 5.5 inches. The rainfall caused catastrophic damage to Boulder, as well as adjacent communities. I'm proud to say that we again demonstrated our ability to restore customers quickly and safely in a very challenging situation. And this storm caused extensive damage to critical infrastructure, including our natural gas delivery system in the Boulder area. We have identified approximately 20 miles of natural gas pipe and thousands of natural gas and electric meters that require a replacement due to water damage. We are working diligently and safely to get service restored to all of our customers in the region and have restored everyone that can be connected at this time. In some cases, we're making temporary repairs with permanent repairs scheduled for next year. From a generation side of our business, we recently brought back 2 of our base load plants Our Monticello nuclear facility returned to service in August, following an outage where we had completed life extension and extended -- and the extended power upgrade project. This fall, Sherco 3 returned to service following the unit's catastrophic failure in late 2011. As a result, Sherco 3 will return to used and useful status in our 2014 Minnesota rate case, which should resolve a issue from our last case. It's important to note that the majority of the restoration cost will be covered by insurance. Therefore, the cost of repairs will not impact customer bills. Turning to our current project. We recently began a scheduled outage at Prairie Island nuclear facility, which is necessary for the 20-year life extension. During this outage, we replaced the steam generators at Unit 2. As you know, we've already successfully replaced the steam generators at Unit 1. As we mentioned last quarter, we are pursuing the addition of up to 1,900 megawatts of wind across all of our jurisdiction. Adding these resources today creates long-term value that could save our customers over $800 million in fuel costs over the next 20 years. I'd now like to update you on where we stand with our proposals to add wind as well as thermal resources. At NSP, we are proposing to add 400 megawatts of wind through power purchase agreement and 350 megawatts of wind that we would own. The Minnesota Commission approved these wind projects last week, and the North Dakota commission is expected to rule later this year. We will also need the results from a final MISO study to determine the transmission interconnection costs for the projects, which we do expect to receive in the first quarter of 2014. The transformation study is important to ensure that the final cost remain economical for our customers. For the natural gas, our THI in Minnesota, we recommended that the lowest cost option for our customers would be a 215-megawatt CT plant addition at our Black Dog plant and a power purchase agreement with either Calpine or Invenergy. We anticipate an ALJ recommendation by year end with the final commission decision in the first quarter of 2014. Colorado, we filed proposal with the commission to add 170 megawatts of solar, 450 megawatts of wind and 317 megawatts of low-cost natural gas generation. All of these requested resources would be acquired via power purchase agreement. In October, we received commission approval for the wind power purchase agreement. These additions will bring PSCo's total wind capacity in Colorado to more than 2,600 megawatts. The commission is expected to decide on a solar and natural gas generation proposals in early December. So financially, operationally, we remain on track and positioned for future success. With that, I'll turn the call over to Teresa.
Teresa S. Madden: Thanks, Ben, and good morning. I'll begin by providing a brief overview of our third quarter results at each of our 4 operating companies. Third quarter ongoing earnings at PSCo decreased $0.03 per share, primarily due to higher depreciation, O&M expenses and cooler summer weather. Ongoing earnings at NSP-Minnesota increased $0.03 per share for the quarter. Quarterly results were positively impacted by electric rate increases in Minnesota and South Dakota, North Dakota interim electric rates and lower interest charges. SPS ongoing earnings decreased $0.01 per share for the quarter. A rate increase in Texas didn't fully offset higher O&M expenses, depreciation and interest charges and the impact of cooler summer weather. Finally, third quarter ongoing earnings at NSP-Wisconsin increased $0.01 per share due to higher electric and gas rates that were implemented in the first quarter of this year. I will now review the key drivers on the income statement beginning with retail electric margin. Despite $46 million in retail rate increases across several states, third quarter's gas electric margins decreased $24 million. As Paul noted in his introductory remarks, we took a net $35 million pretax charge during the quarter related to the August SPS FERC rehearing orders. Of this amount, $26 million was related to electric revenues for periods prior to 2013, $5 million was related to 2013 electric revenues and approximately $4 million was for interest charges. We are excluding the $26 million associated with years prior to 2013 from our ongoing electric margin. Adjusted for this reclassification, electric margin increased $2 million during the quarter. Going forward, we anticipate the annual revenue impact of these orders could be up to $6 million in 2014, decreasing to $4 million in June 2015. Other factors that contributed to the decrease in third quarter electric margin were: A $20 million estimated impact from cooler summer weather versus last year; $17 million from decreased conservation and DSM incentive and $11 million from an estimated earnings test refund obligation at PSCo. Third quarter weather normalized retail electric sales increased 0.3%. On a year-to-date normalized basis, electric sales increased 0.1% and we are remarkably close to our internal projection. Our 2013 electric sales guidance is for 0% to 0.5% growth. Natural gas margins rose $5 million, primarily due to an interim rate increase in Colorado. Turning to expenses. O&M increased $43.8 million or 8.2% during the third quarter, and $90.9 million or 5.8% for the year-to-date period. Several factors drove the higher O&M expense during the quarter, including electric and gas distribution expenses associated with vegetation management, storms and outages. Nuclear outage amortization and other nuclear expenses and higher employee benefits related primarily to increased pension expense. We continue to project that our 2013 annual O&M expenses will increase 4% to 5%. Depreciation and amortization expense decreased $10.6 million or 4.4%. As part of the final electric rate case order in Minnesota, NSP-Minnesota reduced depreciation expense $24 million during the third quarter. This reduction was offset by increased depreciation from normal system expansion. I'll now provide an update on a few of our regulatory proceedings. In Minnesota, we plan to file a multiyear electric rate case in early November. The primary drivers of the request will be related to our significant capital investment program. We intend to file a 2-year rate case. The first year will be a full 2014 test year. The second year will consist of a step increase primarily for specific capital projects, but also for related property taxes and chemicals for emission controls. Consistent with the commission's multiyear claimed order, we intend to reduce our use of riders and instead recover certain investments through the multiyear plan. Our recently approved wind investments will be included in the 2015 portion of our request. Our rate case is driven by our investments in steam generator replacement projects at Prairie Island, the Monticello upgrade and life extension, the return of Sherco 3 to service as well as increases in our nuclear O&M costs and property taxes. FOr these reasons, we expect this to be a sizable request. As a result, we intend to propose a rate plan to moderate the level of rate increases and keep it within a more predictable range for our customers over the next several years. We know that there are inherent challenges associated to filing back-to-back rate cases. And therefore, we've been meeting with stakeholders to help provide them with an understanding of the key drivers of our costs and the need to file at this time. We believe the parties are open to discussing a longer term framework, and we will continue to work with them on this approach. Finally, we plan to file a more comprehensive set of testimony and information to provide additional support for our position and to assist the various parties with their review of our case. Also in Minnesota, we made our prudence filing related to our Monticello life extension and power upgrade project. As Ben mentioned, the project was recently completed and Monticello is back up and online. We expect that the NRC will issue licenses for the plant to operate at the higher output levels later this year or early next year. The Monticello life extension power upgrade project was a highly complex undertaking than in many ways was more complicated than the original plant construction. The initiative, which dates back to 2003, involve the replacement of hundreds of pieces of equipment, requires thousands of workers and resulted in a largely rebuilt plant. The parts of the project evolved from the original estimate of $320 million in 2008 to $665 million due to increased federal regulatory standards and schedules, higher installation costs and a broader scope than originally anticipated. Completing the project took longer and cost more than we anticipated, but it was essential that it be done right, and we believe we made reasonable decisions along the way. Finally, it is important to recognize that the upgrade to Monticello will benefit customer for years to come and were completed at a cost consistent with similar projects at other nuclear facilities across the country. Turning to Colorado, on October 22, the ALJ issued a recommended decision in the Colorado natural gas case. The report is 159 pages and doesn't include a specific revenue requirements calculation. As a result, it will take us a few days to analyze and determine the recommended rate increase. However, some of the ALJ recommendation are consistent with PSCo's decision and include a prepaid pension asset remains in rate base, approval of PSCo's pension expense adjustment, approval of PSCo's annual incentive plan cost, approval of PSCo's pro forma historical tax [ph] year property tax adjustment of $7.1 million, and an equity ratio of 56% based on an actual year end capital structure. Additional recommendations include PSCo's revenue requirements will be based on a historic test year, not a forecast test year. The rate case should be based on a single year, not a multiyear rate plan and an ROE of 9.72%. It is important to recognize that these are recommended decisions. We plan to file exceptions to the report on November 1. The Colorado Commission makes the final decision, and it is expected to rule on the natural gas case before year end. Details regarding our regulatory proceedings in Wisconsin, North Dakota and New Mexico can be found in our earnings release. Before we open up the call for questions, I'd like to comment on our earnings guidance for 2013 and 2014. Our strong year-to-date results position us to deliver ongoing earnings in the upper half of our $1.85 to $1.95 per share guidance range. If achieved, this would represent the fourth year in a row in which our ongoing earnings have been in the upper half of our guidance range. We continue to expect GAAP EPS will be within our guidance range. Looking ahead, we're initiating 2014 ongoing earnings guidance of $1.90 to $2.05 per share. This range assumes constructive outcomes in all rate case in regulatory proceedings, including the implementation of interim rate. Other key guidance assumptions are detailed in our earnings release. We provided a $0.10 EPS guidance range ever since 2004 when our guidance range was $1.15 to $1.25 per share. As our projected earnings approach to $2 per share level, we think it is appropriate to widen the guidance range to $0.15 per share to capture the natural variability of earnings. We also think it's appropriate to have the low end of the range start at the midpoint of our 2013 guidance range or a normalized EPS of $1.90 per share, which represents the starting point for our 4% to 6% EPS growth objectives. In closing, we are pleased to deliver another strong quarter, which positions the company to meet our earnings objective for the ninth consecutive year. That concludes my prepared remarks. Operator, we will now take questions.
Operator: [Operator Instructions] And the first question comes from Kit Konolige from BGC.
Kit Konolige - BGC Partners, Inc., Research Division: On the -- your sales growth outlook, I believe you said that you are expecting 0% to 0.5% in 2013. Can you discuss the breakdown by states on that and maybe any color about commercial versus industrial versus residential? And also give us a view of the longer term sales outlook that you're seeing at this point?
Teresa S. Madden: Well, sure, Kit. Let's start with the 2013 by the states. Minnesota, we're still projecting a decline of about 1.2%. In NSP-Wisconsin, just a slight decline. And then the other 2 jurisdiction, PSCo slightly up and SPS at about 1.2% range. But all of it netting to within the -- up to 0.5%. When we look to the future, we're looking at about, as we indicated in our guidance up to 0.5%, those are narrowing, not such a great degree in terms of the decline in NSP-Minnesota. In terms of the various classes of customers, it does vary by jurisdiction. I will say that C&I, we see the most growth in Texas with the oil and gas industry boom.
Benjamin G. S. Fowke: Kit, I would just add that our forecasting abilities for sales have really been very, very accurate this year, and we believe heading into next year too. I think we really got our arms around what's happening with the economy and how that relates to our sales growth.
Kit Konolige - BGC Partners, Inc., Research Division: So you're expecting -- is it fair to summarize that you're saying you're expecting, netted around the various states roughly flattish to slightly up sales growth over kind of the middle to longer term?
Teresa S. Madden: Yes, that's correct.
Kit Konolige - BGC Partners, Inc., Research Division: And what -- I mean that's lower obviously than historically. What trends are you attributing that to, just economics, energy efficiency?
Teresa S. Madden: All of those, yes.
Kit Konolige - BGC Partners, Inc., Research Division: Right, Okay. It sounds like I have that part of the note written already then.
Teresa S. Madden: Good.
Benjamin G. S. Fowke: Thanks, Kit.
Operator: And the next question comes from -- let me quickly gather details, Neil Mehta from Goldman Sachs.
Neil Mehta - Goldman Sachs Group Inc., Research Division: A couple of questions. First on O&M, the O&M growth embedded here in 2014 guidance is 2% to 3% versus the 4% to 5% from this year. What's driving the lower sequential rate? Is that pension or is also process improvement? And should we take that 2% to 3% and extrapolate that as the long-term growth rate that you're targeting?
Teresa S. Madden: Well, in terms of the 2% to 3%, yes, pension is contributing to that. We did say that 2013 was going to be our high mark. also, we are assuming that likely, we'll have some uptick in the discount rate. But we are also seeing some -- we are working towards improvement, process improvements on the operational side of our business. And in terms of our overall growth rate, if we look to the future, we do intend to keep them lower than our historical 4% where we've been at.
Neil Mehta - Goldman Sachs Group Inc., Research Division: Okay. Great. And on the wind project, if that's approved, when will the CapEx impact? Is that 2015, or is there any CapEx bet in 2014? And then can you provide some more clarity on this MISO study? What specifically is the scope of what they're looking at?
Teresa S. Madden: Well, let's start in terms of the wind projects. There's a very small amount in 2014. The lion's share of the estimated spend will be in, actually it's in the latter part of 2015 around the third quarter. Because they are anticipated to go in service by the end of that year. The MISO study is really related to some interconnections and some paths primarily what will be required. So we need to have the completion of that study to ultimately determine what the cost will be for those transmission paths what we are required.
Neil Mehta - Goldman Sachs Group Inc., Research Division: All right. And the last question is the major objectives for the Analyst Day on December 4 with -- is that when we can expect the CapEx refresh for Xcel?
Benjamin G. S. Fowke: Yes, that's right, Neil, you can expect that, as Teresa mentioned, these wind projects will drive some CapEx needs, will refresh everything. I said in my remarks, I think we continue to have a lot of opportunities to invest in our utilities, and we'll update you on that. We'll update you on where we see the value proposition and give you a general operational and financial update.
Operator: And the next question comes from Paul Fremont from Jefferies.
Paul B. Fremont - Jefferies LLC, Research Division: I guess my first question is you talk about a potentially substantial filing in Minnesota. The last filing I think was close to $300 million. Should we be looking at something in that range? And can you remind us what percent was the $285 million that you were requesting in terms of percentage increase?
Benjamin G. S. Fowke: I think the -- correct me if I'm wrong, Scott or Teresa, I think the $285 million was like 11%.
Teresa S. Madden: Yes. I was in the 10s.
Benjamin G. S. Fowke: Yes, okay. And at this point, we don't want to get any more specific other than to tell you we know it'll be a significant case. And we know putting rate moderation programs in place are going to be very beneficial to making the -- hope we make in the outcome of the case constructive and successful. It obviously reflects a lot of capital costs and mutually related as well as just general infrastructure. So I think we're in pretty good shape. It's going to be significant. We've talked about that before. It's the reason why we also we're sharing with our stakeholders what it looks like over a 5-year horizon. And we think the pace of rate increases will moderate significantly in the next few years.
Paul B. Fremont - Jefferies LLC, Research Division: Ben, I know a year ago the commission have talked about sort of changing the rules for the -- or the requirements for the interim increase? Were any changes made? Or is it essentially the same as it would have been when the $251 million went into effect in January?
Benjamin G. S. Fowke: Well, I think there -- I mean there's a couple of things that have changed. I mean one, as you know, they changed how the methodology of calculation -- calculating the refund obligation works. And we did have a court order that essentially gives the commission a little more flexibility in how they grant interim rates. And frankly, we're aware of that. And we've incorporate that into our moderate -- rate moderation plans.
Paul B. Fremont - Jefferies LLC, Research Division: Okay. And then the wind projects that have already been approved in Colorado and in Minnesota, can you give us sort of a dollar amount of construction associated with the approved projects?
Benjamin G. S. Fowke: Yes, I mean, well of course, the ones that are on the power purchase agreements, they're in the -- a better way to describe that to you is with their levelized prices are, and that's in the $25 to $35 range. In terms of the ones that we have the opportunity to own, I think we're looking at just rough figures in what is it, 1,700 to 2,100 of KWs, something around that?
Teresa S. Madden: Yes, around there.
Paul B. Fremont - Jefferies LLC, Research Division: Yes, 1750 per KW installed would be an average cost that you see in the industry. You can take that times the 350 and come up with an estimate of the capital.
Benjamin G. S. Fowke: It works out to the a very good levelized cost for our customers. And again, these prices are so compelling that it's -- I mean, the energy associated with it is less than what you can do locked in a 20-year gas strip for. Hence, the 800 million plus of fuel savings. We're getting the environmental, we're getting the capacity savings that these projects bring. So we're really excited about it.
Paul B. Fremont - Jefferies LLC, Research Division: And the last thing, the 2014 guidance, I assume, carries forward the ongoing impact of the FERC order. And is there a possibility of getting that overturned?
Teresa S. Madden: Yes, it does include the ongoing impact or potential impact from that. We have filed for re-hearing. We think our positions are strong. So we feel good about that. But we do have that incorporated into our projections for 2014.
Operator: And the next question comes from Ali Agha from SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Listen. First question, the 4% to 6% long-term EPS growth rate, what time period roughly should we be thinking about? Is that a 5-year growth rate? 3 years? And what associated rate base growth should we assume is embedded in that growth rate target?
Teresa S. Madden: Well, I mean, Ali, it's long term, so we could say 3 -- 3 to 5 years. In terms of the rate base growth, really no different than we've been talking to you on the front end, over the 5 years, potentially after like 5%. But there is still the front-end load. This year, we have high capital to spend. We'll start to taper down, we'll have some moderation, assuming we would move forward with the 15 wind projects. I mean, we are, assuming we will move forward, pending the final approvals. But that's really what the landscape looks like.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And also, are you assuming pretty much flattish trends in terms of earned ROEs over that period or any improvement? Or how should we think about that?
Teresa S. Madden: And generally, pretty flat over that period.
Benjamin G. S. Fowke: Ali, as you know, over the last several years, we've been around that consolidated ROE of 10%. And given the macroeconomic environment we're in, I think that's a pretty good assumption going forward.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then on the dividend policy, I wanted to get a little more insight. I know you guys have been saying in the past that as the earnings growth starts to taper down, you start to get more aggressive on the dividend. So we see that the dividend growth is now in line with EPS. Previously, it was slightly below. The fact of the matter is, Ben or Teresa, that your payout ratio is still probably lower than your peer group. And so if you keep dividend in line with earnings, you keep it at that payout ratio. So any sort of thoughts on that? I would have thought you may have wanted to grow dividend at a faster pace than earnings? So any insights in your thinking there?
Benjamin G. S. Fowke: Well, I mean, I think we started with giving you the clarity that the dividend growth rate objective is now 4 to 6. We know that our dividend payout ratio is modest compared to our peers, and that's a good thing. So we've got lots of options going forward in what we do and how we do it and the various options you can reward shareholders. Obviously, that's a very important topic that we'll discuss with our board. And we'll look at a number of factors, CapEx, macroeconomic conditions, credit rating objectives, you name it. It's -- we look at it. And I mean, I'm excited that we can continue to offer such a compelling value proposition. And I think it's the hallmark of what we've been able to accomplish. And one thing, as I pointed out on my notes is, we actually do hit our objectives. We've got a history of that. So I hope everybody takes comfort in that.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: And last question, Ben, when you had laid out the last 5-year CapEx program, in there you had embedded, I think it was about 800 million of equity or it's about 400 million with this after-market program that you have put out there. As you think about these new wind projects, assuming they do come in. And I think you've said that you assume that they do come in. And doing the math, another $650 million, $700 million of CapEx, what does that do to your thinking about equity in the mix, as you look forward now?
Benjamin G. S. Fowke: Do you want to take that one or you want me to...
Teresa S. Madden: Well, I mean -- maybe the short answer, Ali, is we really do plan to discuss the whole, complete plan at our Analyst Day. So we'll be revising and refreshing all of that when we meet with you at that time. So...
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Is it fair to say, we should assume more equity just given the additional in CapEx and the balance between equity and that? Is that fair to think about?
Benjamin G. S. Fowke: Let's -- first of all, let's make sure that projects are finally approved, and we'll share that capital forecast. As you know, timing of the capital forecast is pretty important when it comes to any equity needs. I think the bottom line is our equity needs are very modest going forward, I mean. So I don't think that will be a big issue but we certainly can give you more clarity at the Analyst Day.
Teresa S. Madden: I agree with that.
Operator: And the next question comes from Travis Miller from Morningstar.
Travis Miller - Morningstar Inc., Research Division: Quick follow-up on the dividend. Have you given out a payout ratio guidance or just the growth rate?
Benjamin G. S. Fowke: At this point, just the growth rate.
Travis Miller - Morningstar Inc., Research Division: Okay. Is it fair to assume that implied 60%, if we go out to guidance 2014 and apply the growth rate, is that about where you're comfortable?
Benjamin G. S. Fowke: Well, I think we're just comfortable right now on the 4 to 6. And we're going to -- obviously, as I said just previously, we'll discuss various ways we can reward shareholders within that target with our board. And again, we know we have a modest payout ratio. We also have outstanding credit ratings and excellent opportunities to continue to invest in our utility operations.
Travis Miller - Morningstar Inc., Research Division: Okay, great. And then quick on the gas usage growth. I mean, you guys posted really good gas usage growth for the last several quarters. I was wondering if you could characterize the continuing trend, whether you see that continuing, if there's fundamental developments there? Just kind of what's going on over the last few quarters to drive that 4% to 5%?
Teresa S. Madden: I mean, I think, I would characterize it as maybe an aberration. We are watching it. I would say that our weather normalization, is very cold. It's primarily in PSCo in the early part of the year. We may have some aberrations with that. As you can see, when we look to '14, we're actually projecting some decreases. So I wouldn't say it's necessarily, we'll continue to watch ongoing long-term trend to see that uptick at that level.
Travis Miller - Morningstar Inc., Research Division: Do you think there's been a material response given the decline in gas prices? Do you think that's a driver and that if you gas prices going to 6, 7, that you'd see a significant pullback? Or is that not necessarily relevant?
Teresa S. Madden: Well, I think in general, with anything when gas prices go up, people potentially monitor their use. So it's depending how much and when.
Operator: And the next question comes from Neil Kalton from Wells Fargo.
Neil Kalton - Wells Fargo Securities, LLC, Research Division: Just as a quick question on EPS guidance for '14 and specifically the low end, which is flat with 2013, really. So what kind of has to happen to see flat year-over-year? What should we specifically be sort of looking out for, I guess?
Teresa S. Madden: Well, I think there are several things that could affect next year, but we talked about the Minnesota case and all our rate cases that we have out there. We are assuming, as we always do in terms of when we initiate guidance and constructive outcomes in terms of those rate cases. Now if there was some deviation from that, that could be a factor. But there's other things, too, O&M variation, sales, the whole list of things that could occur.
Benjamin G. S. Fowke: I think -- I mean, Teresa said it. But I also just think -- I mean, we didn't achieve what we started out to achieve this year with the Minnesota rate case. I mean, I think everybody knows that. And as both myself and Teresa talked about, we have the fortunate uptick for weather. That mitigated a lot of it. We had some management initiatives that mitigated the rest of it, positioning us very well for this year. But of course, you can't count on weather next year. And while I think we are as best positioned as we possibly can be for these '14 phase. I mean, it's certainly going to be a big driver of our success next year.
Operator: And our next question comes from Julien Dumoulin-Smith from UBS.
Unknown Analyst: This is Paul Zimbata [ph] from Julien's team. Just a quick question on the Minnesota multiyear rate case. If you could just talk about decision to file in November with running at the suboptimal level and without the NRC license, if you think that, that will have any kind of implication?
Benjamin G. S. Fowke: At suboptimal level, I'm not sure I understand what you're talking about. What's that?
Unknown Analyst: Same that you were [indiscernible]
Benjamin G. S. Fowke: I'm sorry, I misheard you. I'm sorry, Paul.
Teresa S. Madden: Me too!
Benjamin G. S. Fowke: Well, first of all, the Monticello we expect, even as the shutdown delayed it a bit. But we expect the Monticello license, the first piece of it, to come through in late November, possibly early December, and with the approval for the final piece, maybe as early as March 2014. So I don't think that the NRC license will be a significant factor in the rate case. Does that answer your question? Because I apologize for not understanding it.
Unknown Analyst: That's okay. Yes, that was it.
Operator: And the next question comes from Chris Turnure from JPMorgan.
Christopher Turnure - JP Morgan Chase & Co, Research Division: I have a question kind of in that vein, but more specifically on the Monticello up-rate prudence case. Is the NRC license going to impact the timing of how that progresses? And then kind of second there, is there a precedence that we can kind of look to to understand how they are going to treat and look at that overrun versus the original estimate?
Benjamin G. S. Fowke: Well, let me kick it off and we've got the experts sitting by my side here. I don't -- first of all, I don't think the NRC timing of that won't impact the prudence proceeding. I also think if you -- there's a number of different ways that historically, commissions look at prudence review. And the traditional way, we've make decisions at various points in the project life, I think we feel pretty comfortable about. We did have overruns. But if you look around the industry, so did everybody else. These up-rates have turned out to be much more expensive. And then finally, despite the increased costs, we certainly would have gone forward with the project at $11 gas when this project started. And frankly, it still makes sense for our consumers today. So I think we're in pretty good shape there.
Teresa S. Madden: The key component in our portfolio mix, as we look forward, and we think nuclear has a good position versus what...
Benjamin G. S. Fowke: Electricity [ph] carbon free. I mean, Dave or Scott, I don't know if you want to add anything?
Christopher Turnure - JP Morgan Chase & Co, Research Division: Okay. And then the second question is around the mitigation efforts going into the general rate case in November. You gave a little bit of color in the press release today, but I was just wondering if you could talk more about that, flesh it out a little bit and give more color around how the discussions with the intervenors are progressing so far?
Teresa S. Madden: Well, I'll start. And then you guys can -- in terms of we did, as you know, in the 2013 case, the commission made an adjustment relative to theoretical reserve and an 8-year amortization. So we're looking at some alternatives around that. That would be a primary one. And then potentially, we have some daily refunds. That would be the second. But more to come on that as we go forward. If you 2 want to talk about the stakeholders?
Scott M. Wilensky: Hi, this is Scott. I would just say we've been trying to work with folks to get them to understand why we're coming back here in November, to make sure they understand the drivers of our costs and which plants are affecting that, which plant additions. And I think that overall, people are working with us, receptive to the fact that we are looking at a moderation plan and understanding that our costs are increasing in a period that's sort of peakish. And that we'll try to smooth that out.
Operator: And the next question comes from Angie Storozynski from company Macquarie.
Angie Storozynski - Macquarie Research: First of all, I wanted to actually thank you for finally giving us a sense of what is the new long-term growth rate for earnings because with your comment in the past that it would be a deceleration in earnings growth past '14. We were kind of scrambling, is it 2%? Is it 3%? So I think that that's -- provides a lot clarity, the 4% to 6%. Now on the -- again, the Minnesota rate case, the multiyear aspect of it, how should we think about it? I mean, did you hear from intervenors that they will be receptive to a multiyear rate case? And also, given the less-than-satisfying outcome of the last rate case, I mean, should we expect that if this rate case doesn't go well, there's going to be another one filed just after the current one? So are we basically -- is the strategy to basically file rate cases until you get what is required to have a profitable business in Minnesota?
Benjamin G. S. Fowke: Well, let me take a stab at this. I mean we're working with stakeholders now because we don't want to be in that continual rate case loop, and neither does the commission, the staff or our customers. That said, I don't think anybody thinks that the capital we're spending and the expenses we're incurring aren't for good use. It's pretty much evidenced in what we were able to accomplish here over the summer. We had half of our customers out. So we're making the right investment decisions. I think a multiyear plan, and Scott alluded to it, helps moderate rates today, recognizing that the pace of rate increases modulates significantly the further out in time you go. So our plan is to be successful in this case. And to replicate what I think has been a pretty good model and I think has been pretty successful in Colorado for all stakeholders, shareholders alike, customers alike. So it's not our plan to file rate cases continuously.
Teresa S. Madden: Maybe, Ben, I would just add to that in terms of the stakeholder input that we see. They were actually suggesting the 2-year case. And so I mean, clearly, we're having I would say a positive dialogue and we have taken some of their input. And that's part why we're filing the 2-year case instead of potentially what was allowed, the 3-year case.
Benjamin G. S. Fowke: Yes, I mean, essentially, to Teresa's point, it's a 5-year look and see. And so I think everybody is open to what we're trying to accomplish. I also think, too, we're -- we got some I think very good programs to continue to be more efficient. And we recognized that's what we need to do. Teresa mentioned we'll see our pace of O&M and certainly out by pension. It's going to be also helped by a lot of productivity improvements, with process improvements, et cetera which -- I'm not talking about deferred maintenance, I'm talking about improved processes. So I think -- I mean, obviously, it's a big case. But I think based on what we heard today, we are cautiously optimistic. It will go well.
Angie Storozynski - Macquarie Research: I know that you're not providing any details about the filing ahead of it. But I mean, how big an impact roughly speaking would it have on electric bills? Would the increase be significantly above the inflation level?
Benjamin G. S. Fowke: What is inflation?
Angie Storozynski - Macquarie Research: Well, optimistically, let's assume 2% to 3%.
Benjamin G. S. Fowke: I think you're going to find our rate moderation plans are going to be in that zone of reasonableness that stakeholders would be open to.
Operator: And the next question comes from Jonathan Arnold from Deutsche Bank.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: A quick one on Teresa, I appreciate your comments on the gas sales forecast for 2014. And you'd said maybe some of the growth have been a bit of an aberration in the weather numbers perhaps. Is negative 2 just giving back some of that noise? Or is that a better handle on what you see as underlying growth?
Teresa S. Madden: I would probably go with the former, potentially. A little bit hard to say, but...
Jonathan P. Arnold - Deutsche Bank AG, Research Division: So is it -- once you've kind of adjust for maybe what was surprising this year, is your underlying outlook is more flattish like for electric?
Teresa S. Madden: Yes.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Right. And then if I may, just on the sales topic, is there -- you're obviously talking 0% to 0.5%. Let's just -- and Ben, I heard your comments about feeling you've got your arms around the drivers. Let's just say it was 0% to negative 0.5%. Is that a very -- is that -- would that be enough to put you outside of your trajectory on 4% to 6%? Or do you think you have enough other things you can do to sort of maintain it, in the event that you did see kind of sustained modest shrinkage?
Benjamin G. S. Fowke: Yes, I mean, that's -- I don't think so. It would be my initial reaction.
Teresa S. Madden: I would agree. Put us outside of the range, we could look at that [indiscernible]
Jonathan P. Arnold - Deutsche Bank AG, Research Division: It would lead you to the bottom of it, but not outside? Is that...
Benjamin G. S. Fowke: I don't -- I mean, it will be really difficult to give you an answer to that because there are so many other factors, where it would occur, what our regulatory mechanisms were. I think we've got far more flexibility than just the 50 basis points movement in sales, significantly altering our long-term growth expectations.
Operator: And the next question comes from Andy Levi from Avon Capital.
Andrew Levi: We were also happy to see you get the growth rate out there as well because there was definitely a lot of concern, I guess. So 5% is pretty good. Just a couple of questions. On the 4% to 6%, what gets you to the high end? What gets you to the low end? Can you kind of go into that? And obviously, you talked a little bit about flexibility you have as far as sales volumes? And that has to do with customer class, too. But just any color you can give us on high end versus low end of the growth rate?
Benjamin G. S. Fowke: I would, me and Teresa, I would do the easy part and Teresa can do the other part. I think that clearly on the top end, what we would want to do is see improvement in our earned ROEs. And of course, in this interest rate environment, authorized ROEs, I would say that will be a stretch. But you've heard us talk before, if we could close the gap between actual earned and authorized, that would be one piece of it. Continuing to have a capture rate base growth opportunities, investment opportunities would be another. We talked just in the last call with Jonathan about sales growth. Of course, positive sales growth certainly would be supportive. and all those factors go the other way to get you on the low end.
Teresa S. Madden: Great. I think you've covered the key items, but ROE [indiscernible]
Benjamin G. S. Fowke: O&M?
Teresa S. Madden: Oh, sure.
Andrew Levi: Okay. Just 2 more questions. I don't know if I'm just reading into this or is it just -- is it really just 4% to 6%. But on the dividend, you mentioned that there are a lot of options that you'd like to discuss with the board relative to where the payout ratio is. Can you discuss what those options are?
Benjamin G. S. Fowke: Well, I mean, I think you heard a lot of the callers trying to understand what the pace of that is going to be. I mean, if there's going to -- I mean, we're going to have a dividend payout ratio target, et cetera. So I -- again, I don't know if we can provide any more clarity. I mean we have discussions, as you would guess, with our board routinely around the dividend because we -- as we do with other value part of -- the value components of our value proposition, and it's an important topic. We'll continue to have these discussions. The good news is that we can have these discussions about how we're going to reward shareholders, because we do have a modest payout ratio and we are now aligning our dividend growth with EPS growth. So I know everybody wants more clarity. But let's just start with that objective, and we'll give you more clarity on that as time goes on.
Andrew Levi: What is the timing on getting that clarity? What is typically is the board meeting that you generally have this discussion?
Benjamin G. S. Fowke: Well, we have an Analyst Day in December. We typically have made dividend announcements for the last 5 years now at our shareholders' meeting. You're not bound by that. But I mean, I guess that would be kind of the guidance I would give you.
Andrew Levi: Okay. And your payout ratio right now based on your 2014 guidance is around 55%, 56%. Why not take the payout ratio up to 60% to 65% based on your profile?
Benjamin G. S. Fowke: Well, I guess I'm just going to repeat what we said. I mean, we know we have a payout ratio that is modest. Of course, we've had that for a number of years now. And I think it's extremely important, and I'm not going to speak for my board, but it's extremely important that you have a sustainable, predictable dividend. And we've provided that for many, many years now. We'll continue to provide that for many years to come.
Paul A. Johnson: I think the other thing I would point, Andy, if you look at the midpoint of 2013 guidance range, payout ratio is probably more like 58%.
Andrew Levi: Yes, I'm just talking more on '14 and what type of increase we can see in '14...
Paul A. Johnson: If the earnings and the dividends are growing at a similar rate, the payout ratio is not going to change.
Andrew Levi: And then the last question has to do with the stock and kind of again looking at the midpoint of guidance. And so if you kind of took that 4% to 6% and you took it out to '15, the stock itself, on a valuation base is relative to the regulator group. So pulling out some of the gas you named have traded much higher multiples. Is trading at about 6% discount despite the 5% earnings growth rate and this dividend growth rate as well. How as a management do you think you've closed that gap and get back to where you used to actually trade at a premium to the group now trading at a substantial discount?
Benjamin G. S. Fowke: I hope, one, continue to remind people that we've had a successful track record of delivering shareholder value and then two, on a prospective basis, making sure we continue to deliver shareholder value. And clearly, I think, we've had some overhang on with the pace and frequency of our regulatory filings. Going to multiyears, I think we'll provide more clarity on that so I think that will be helpful. Continuing to work on closing the gap between earned and authorized, ROE would be another process and continuing to make progress. But the reality is we've delivered a pretty good track record here. And I think we're positioned to continue to do that. And so I think it's a matter of time before people recognize that.
Operator: The last question comes from Ashar Khan from the company Visium.
Ashar Khan: Can I just ask you, Ben, I guess, we go through this in different states going through that in New York, over here. I was just looking, Minnesota has a gubernatorial election next year. Can this rate case become part of any issue or no? Arguably, the elections have been immune to what's happening on...
Benjamin G. S. Fowke: I mean, that's a great question and I just will tell you that everybody here is shaking their heads no. I mean, we do not anticipate that the rate case will be a political issue in this election.
Teresa S. Madden: All right. Well, thank you for participating in our third quarter earnings call. We look forward to meeting with many of you at the EEI Financial Conference in a few weeks. In addition, we hope many of you will attend our analyst meeting at the New York Stock Exchange on December 4. We plan to update you on our efforts to spend the O&M cost per pound, our Minnesota electric rate case, our nuclear construction projects and rate base opportunities. And until then, Paul Johnson and the IR team are available to take your call. Thanks a lot.
Benjamin G. S. Fowke: See you later, everyone.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. Thank you for your participation, and you may now disconnect.